Robert MacLeod: Good morning, everybody, and welcome to our 2018-19 results presentation. As we've done previously, Anna and I are going to do this in 3 sections, and I will start with the highlights. We had clear aims for the year, deliver a strong performance and progress our strategy. And we delivered on these goals. These results are in line with our expectations, and as I will come onto after Anna has taken you through the financials, we continue to make progress with the changes and investments that will strengthen our platform for growth. In the year, we grew underlying earnings per share by 10% led by Clean Air, which performed strongly as expected. Efficient Natural Resources saw good sales growth and we delivered strong margin improvement from improved efficiency and higher pgm prices. In Health, the changes we made have improved our footprint, positioning ourselves for growth. And in Battery Materials, we continue to make significant progress. We have leading technology in eLNO and are now investing in its commercialization, which will deliver breakout growth over the medium term. Our return on invested capital was 16.4% held back by the higher levels of metal inventory we've had over the course of this year as Anna will explain. Given this strong performance and our confidence in the group's prospects, the full year dividend is up 7%. So now let me hand over to Anna to talk you through the financials, the progress we've made against our focus areas and the outlook.
Anna Manz: Thanks, Robert. Good morning, everyone. Overall, we've had a very good year. And despite challenges in some of our end markets, we're doing exactly what we said we would. At constant rates, our sales were up 10% and underlying operating profit was up 8%. Underlying earnings per share is up 10%. And as Robert mentioned, we increased the final dividend by 7%. Firstly, looking at sales for the group. Sales were strong throughout the year, up 10%. We saw growth across all of our sectors but particularly Clean Air, which grew double-digit in both our Light and Heavy Duty businesses. Operating profit was up 8%, towards the upper end of our mid- to high single-digit guidance for operating profit. This was a strong performance led by Clean Air and Efficient Natural Resources. In Health, operating profit declined slightly as expected and New Markets was also lower. Corporate costs increased due to our investments in various group initiatives which will help drive further efficiencies across our business. Some of these costs are included in the sector's operating profit whilst others sit in corporate. Overall, this was a good operating performance for the group. Progressing now to my 3 focused areas. As I go through this presentation, I'll be talking about those focused areas. And to remind you what they are, driving increasing business-wide efficiency, disciplined management of working capital and rigorous and transparent resource allocation. Overall, we've made good progress. However, progress has been impacted by the increase we've seen in precious metal working capital, which was caused by unscheduled downtime in one of our refineries in the year. This will have a temporary impact on some aspects of our performance including finance costs, return on invested capital, cash flow and net debt, and I'll cover more about that later. We're delivering now as we invest for the future. The 8% growth in operating profit was achieved whilst we incurred cost as we invest to drive improvements across our business. We've invested in the rollout of a single global ERP system, building our procurement function, improving our commercial capability and in other areas, all of which will set us up for sustainable growth. Growth in our underlying business also includes both the GBP 15 million saving associated with the closure of our Health plant at Riverside and the investments that we're making to improve the efficiency of our footprint in this sector. This net cost in the year will deliver significant benefits in the future. Through driving business-wide efficiency, we're seeing tangible results and expect further benefits in the medium term. We've made good progress on the number of efficiency initiatives in the year. In procurement, we've continued to invest in building our procurement capability and we're on track to deliver the expected GBP 60 million of savings over 3 years. So far, we've delivered GBP 28 million and expect to deliver the remainder over the next 2 years. As I've said previously, roughly 3/4 will directly benefit the P&L. Our group restructuring program that we started last year is now substantially complete, generating annualized cost savings of around GBP 25 million. And in Health, we've optimized our Manufacturing footprint by closing our Riverside plant and expect savings of GBP 20 million. This is just the start. We're continually identifying opportunities to run our business more efficiently and this enables to reinvest, driving further growth. All of this will strengthen our platform for the future. Moving on now to the sectors in more detail, and I'll cover our performance in the year and strategic progress. Robert will give you the forward-looking view and a sense of our priorities. Clean Air performed well, delivering sales growth of 11% driven by double-digit growth in both Light and Heavy Duty. And this was in a year when we saw a decline in global auto production. Starting with Light Duty, as expected, growth was driven both by diesel and gasoline in our European business. Our diesel catalyst sales grew 22% in a market that declined 9% driven by respective market share gains. We achieved a 20 percentage point increase in our Light Duty diesel market share in Europe which increased from 45% at the start of the year to around 65% by the end. Our gasoline business in Europe grew 18%. This was ahead of the market and largely due to a positive sales mix with more gasoline particulate filters being sold. Our Asian Light Duty business grew ahead of the market production in most markets, and our Americas Light Duty business slightly underperformed the market. In Heavy Duty, we saw double-digit growth and we outperformed the truck market in Europe and the Americas and we were in line in Asia. Our growth is driven by the Americas where we grew 19%, and this reflects a strong performance in the U.S. Class 8 and 47 truck markets. We continue to expect high levels of activity in the U.S. Class 8 market with production peaking in the middle of the 2019 calendar year. Our European Heavy Duty business grew 4% in a low-growth market driven by non-road. And in Asia Heavy Duty, our sales were broadly flat. Clean Air's operating profit grew 13%, with a 20 basis point increase in margin largely due to volume leverage particularly in Europe. Overall, this is a strong performance this year. In addition, I'm really pleased with our strategic progress. As expected, our European Light Duty business has driven growth in the short term and we achieved our planned share gains in Light Duty diesel, a significant milestone due to our technology leadership. And to support this growth, we're taking steps to expand our manufacturing footprint. In the year, we broke ground and made good progress on our new manufacturing facilities in China and in Poland. We'll be ramping up both of these plants through 2020. And we're also building a plant in India, which will cost around GBP 50 million to meet the increasing demand in that region from Bharat IV which comes into force in April 2020. And of course, we remain focused on maintaining a margin of around 14% through delivering planned efficiencies and optimizing our manufacturing footprint. Looking forward to '19-'20, we expect a year of more modest growth. Growth will be weighted to the first half as we realize the benefit of the annualized share gains partly offset by reinvestment into R&D and the new manufacturing capacity. We anticipate that these investments for growth and efficiency will lead to a slightly lower margin than prior year. Beyond '19-'20, we expect sales and operating profit growth to be increasingly driven by the introduction of newer legislation both in China and in India. Looking at Efficient Natural Resources. Sales grew 4%, driven by the growth in our refill business in Catalyst Technologies and Pgm Services. Overall, Catalyst Technologies was broadly flat. We saw double-digit sales growth in refill catalysts offset by lower sales from first fill catalysts, while licensing was flat. Refill catalysts and additives are reoccurring in nature. These sales make up the majority of our Catalyst Technologies business and we outperformed our markets in aggregate. First fill catalysts are one-off in nature and are driven by the timing and number of new plants being commissioned. As expected, licensing income was flat as activity around new builds especially for the technologies we license remains subdued. We signed 5 new licenses in the year, so there were some signs of improvement. But as revenue is recognized over the period of plant construction, we won't see a material impact in the near term. In PGM Services, sales grew 10%, benefiting from higher more volatile average precious metal prices, slightly offset by lower sales of industrial products. Moving now to operating profit, this was up 15% and the margin improved 1.8 percentage points. We benefited from higher pgm prices, a GBP 16 million impact in the year. Additionally, we saw net benefits from improved efficiency due to initiatives across a number of areas including procurement and restructuring. Most of these efficiency benefits are ongoing, although around GBP 5 million will not repeat. Of course, we've made good progress in running our business more efficiently, we are investing to improve the safety, resilience and efficiency of our pgm refineries. Our pgm refineries are critical in ensuring that we have security of supply for Clean Air as well as for our external customers, and that's why we're investing around GBP 100 million over the next 3 years. This investment is already included in our CapEx guidance. So overall in the year, ENR performed well. Taking a step back and looking at our strategic progress to date, we've taken some significant actions within this business to support the delivery of our strategy. For example, a lot of work has gone on behind the scenes to simplify our product portfolio with the removal of a significant number of products. This will optimize our offering to the market and improve our cost to serve our customers. We're making good progress in commercializing newly developed sustainable technologies. For example, we've signed a large new license in the year for mono ethylene glycol. At the same time, we're also seeing benefits from our focus on efficiency. I've talked about the restructuring savings that we've achieved in the year and we'll continue to look for further improvement as we drive profit growth ahead of sales.
, : In Health, we saw sales growth of 3%. In our Generics business, sales were broadly flat. Sales of controlled APIs, that's active pharmaceutical ingredients, grew slightly, with growth in bulk and specialty opiates, while sales of ADHD APIs were flat. Sales of noncontrolled APIs declined. This was largely due to lower sales of dofetilide, an antiarrhythmic drug, as new competitors for our customer entered the market, and we expected this. Our Innovator business has performed well with sales up 14%. We had increased sales from APIs where our customers are moving into late-stage testing ahead of commercialization. Moving now to operating profit. As expected, this was slightly down and the margin declined by 1.3 percentage points. This was primarily driven by the change in product mix as our current portfolio moves through its natural life cycle. Additionally, we saw higher costs from our manufacturing footprint optimization as we restructure our business to support our future growth which offset the GBP 15 million of savings achieved in the year from the closure of Riverside. As we execute our strategy, we've made significant progress in restructuring our assets. The closure of the Riverside plant in the U.S. is now complete and we're ramping up our UK plant in Annan. This is in line with our focus on complex, high-value, low-volume APIs rather than bulk-quantity manufacturing that Riverside was designed for. Over the medium term, this optimization will deliver annualized benefits of GBP 20 million and provide the efficient platform to deliver value for our global product portfolio. As you know, we've been investing in our new product pipeline across both Generic and Innovators. We're also on track to deliver an additional GBP 100 million in operating profit from our pipeline by 2025. At the end of March 2019, we've got 46 products in our Generic pipeline and we've included the slide in the appendix showing our progress in the year. Our Innovator pipeline is also progressing well with 3 products in late-stage development and nearing commercial launch. And finally, looking to '19-'20, we expect sales to be broadly stable whilst operating profit will grow double-digit driven by the cost savings that we've made from the closure of Riverside. In New Markets, we saw strong sales growth, up 17% driven by alternative powertrain which includes battery systems, fuel cells as well as the LFP and eLNO cathode materials businesses. Alternative powertrain sales were driven by demand for nonautomated applications within battery systems, such as e-bikes; and growth in demand within our fuel cell business, which is now profitable. The development and commercialization of eLNO is on track and have made good progress during the year. Robert will speak more about eLNO later in the presentation. In the year, operating profit declined, primarily due to further investments in our Battery Materials business, eLNO, and weaker profitability in medical device components. Looking forward to '19-'20 we expect new markets to deliver both sales and operating profit growth. Moving down the income statement, as expected finance charges increased in the year, primarily driven by the higher precious metal funding costs associated with the pgm refinery downtime. Next year, we anticipate that the finance charges will be significantly higher. As guided, our underlying tax rate decreased to 15.9% following the lowering of the U.S. corporate tax rate and our mix of profits by country. In '19-'20, we expect the underlying tax rate to remain about 16%. Underlying EPS was up 10% to 228.8p benefiting from better operating profit and the lower tax charge. Our reported results were impacted by a number of one-off items, the largest of which was a legal settlement. We recognized a charge of GBP 17 million in respect of a settlement with one customer in relation to an issue we previously highlighted in our contingent liability note with no admission of fault. Free cash flow was an outflow of GBP 13 million due to net working capital outflow of GBP 224 million, the bulk of which relates to precious metals which I'll come to on the next slide. Whilst the working capital outflow is disappointing, the business has strong cash generation characteristics. CapEx in the year was GBP 323 million with cash spend of GBP 300 million. Disciplined management of working capital is another of my focused areas. And over the next 2 slides, I'll talk through our precious metal and non-precious metal working capital progress. Starting with precious metal working capital, this has increased as a result of unscheduled downtime in one of our refineries in the year. Since the downtime occurred, we've worked hard to reduce the backlog in ounces. It's a complex process that takes time. Whilst there's been an improvement since the half year, our progress in reducing the value has been partially masked by higher pgm prices. We expect to make further progress through the course of '19-'20 weighted to the second half and anticipate return to more normalized levels in 2021. Now looking at nonprecious metal working capital, our continued focus on improving working capital and running the business as efficiently as possible everyday has again resulted in progress in the period. Average working capital days excluding precious metal improved by 3 to 59. The improvement has been delivered despite specific factors this year, including the preparations that we made ahead of the UK's planned withdrawal from the EU. As you can see, we've had an 11-day improvement since 2016. Overall, we're pleased with progress, and we will continue to drive an underlying improvement in working capital. Moving to the balance sheet, our net debt increased by GBP 187 million since last year to GBP 866 million reflecting the increase in precious metal working capital. Our balance sheet remains strong with net debt-to-EBITDA of 1.3 times. We target our net debt-to-EBITDA of 1.5 times to 2 times allowing us to invest in value-enhancing opportunities to accelerate future growth and in line with our disciplined capital allocation framework. And moving now to my final focused area, rigorous resource allocation. We continue to focus on ensuring spend is targeted to higher growth areas. Our annualized return on invested capital excluding net pension assets was 16.4% compared to 17% last year. We took the decision to remove the pension assets and related deferred tax liability from our calculation as it isn't an operating asset and it masks the underlying performance. For transparency, we've given you return on invested capital using both our old and our new methodology. But on this slide, I'll talk through the movements on the new basis. Return on invested capital in the year was impacted by our increased precious metal working capital and higher recent metal prices. Over the near term, we will be investing and building assets for growth and therefore you would expect a temporary reduction. However, following these near term investments, we will begin to realize returns. We've already won the business required to fill our Clean Air plants and are working hard on our plans for eLNO commercialization. We have a clear path to achieve a 20% return on invested capital over the medium term. Turning to the outlook, we expect growth in operating performance at constant rates to be within our medium-term guidance of mid- to high single-digit growth. Working capital continues to be a focus and we're targeting a further reduction in underlying average working capital days. And we expect CapEx to be up to GBP 500 million next year as we invest for future growth, for example as we commercialize eLNO and we complete our 2 Clean Air plants in Poland and China and our smaller plant in India. I'll now hand back to Robert who will take you through our strategic progress.
Robert MacLeod: Thank you, Anna. Johnson Matthey's strategy will deliver on our vision for a cleaner, healthier world. This year, we outlined a new sustainable business framework which runs through to 2025 and it's centered around the 6 U.N. Sustainable Development Goals where we can make the biggest impact. The changes and investments that I've continued to drive will create an agile and efficient business for all our stakeholders, and that is what I'm going to talk you through in the next section.
, : In a fast-changing world, we would not be able to deliver on our growth promise if we stayed as we were. Our people deliver our strategy and vision, and the executive team and the Board create the culture that drives success. As we move through different phases of our strategy, I'm building a management team with the right mix of skills, experience and diversity to deliver on our ambitions. Most recently, we have agreed the appointment of a new CEO for Battery Materials who has strong business leadership skills. They will join us in September. We've also changed a significant proportion of our broader senior management team, those that report into the group management committee. These appointments are a combination of talent developed in-house and recruited from outside. In addition, we're building capability across the whole of JM and are investing in their development through ongoing leadership programs and other courses as we embed a greater performance culture across the organization. To enable our people to succeed, we're changing our processes, standard transparent processes will transform the way that we work, but it will substantially reduce complexity and increase our efficiency, allowing more time for our leaders to focus on delivering great products and services for our customers. Better processes, better data and improved visibility allows us to roll our business more effectively and will create even more value across the group. We have a number of group-wide initiatives, and of those, our procurement program probably has the biggest impact in the short term. Alongside this, our commercial excellence program is about capturing a fair share of the value we create for our customers. It's also about gaining a deeper understanding of our customers' needs and ensuring that we have a clear view of our customer and product profitability. We do this, for example, through our recently established JM sales academy where we have trained 350 colleagues so far to focus on creating a better awareness of customer needs and where we can apply our capabilities accordingly. Our systems investments are also key to delivering the efficiency targets we have set ourselves. The rollout of a single global ERP system will underpin everything that we do. And although the pace and level of change is high, our world-class sites remains at the heart of our business. We will continue to invest in our science and technology to maintain our competitive advantage. But around this core, we will have a business that's more agile and efficient, one that will enable us to deliver for our customers. We will be able to meet their requirements through standard ways of working across all our various plants, which enable us to scale up our business even further. The result will be a business that is better positioned to drive growth in a world that is constantly changing around us. I now have a broader senior leadership team that is committed to delivering on this promise to all of our stakeholders. Of course, we will deliver our strategy through our sectors, so I want to look at the impact of the changes we're having on each of them. In Clean Air, we delivered exactly as planned and are on track to achieve the sustained growth and margin as we'd outlined. The growth drivers for this business are the global demand for improving air quality and the tighter emissions legislation which underpins that, especially in Asia. We'll deliver our strategy through our global leadership with the best technology, our competitive advantage in working with our customers to enable them to meet increasingly stringent legislation and through an efficient manufacturing footprint. And we have 3 priorities. First, to maintain our technology leadership through our research and development. In Europe, our technology leadership in Light Duty diesel delivered our share gains this year. But given market dynamics, we are now reallocating some research and development spend to gasoline to deliver future share gains. Second, further legislative change will be a key driver for growth in Clean Air, particularly in China and India with the implementation of China VI and Bharat VI for light and heavy duty vehicles. We will capture this growth to double our Asia business over the medium term and will support our growth through our new capacity, expanding our manufacturing footprint in Europe and Asia. As we progress through the year, our key priority will be ensuring the smooth ramp-up of our new manufacturing plants in Poland and China, as you can see on this slide. On the left, you can see our new plant in Gliwice, Poland; and in the right, our plant in Zhangjiagang, China. Both of these plants will be highly flexible and extremely efficient which helps us drive further operational efficiencies across the sector. Our ability to operate efficiently is a key priority in Clean Air and indeed across the group, and this will enable us to keep margins broadly stable as planned. Almost 2 years ago, we outlined our medium-term projections for Clean Air to 2025. As you've seen from our results, we have delivered the strong growth we projected for the first 2 years. But as we look forward to the next big opportunity, it is in Asia, particularly in China where we'll see a similar transformation as we did in Europe with the Euro 6 legislation for both light and heavy duty. In China, on the light duty side, we'll see the implementation of China VI from 2020. In the short term, we expect some vehicles to be fitted with a coated filter which could double the value per vehicle to us. But from 2023, when China VIb comes into force, we will see a significant ramp-up in penetration of coated filters. Whilst in heavy duty, the implementation of China VI is earlier than expected driven by the Chinese government's blue sky legislation which requires early implementation in some provinces from July this year. The adoption of this legislation will ramp up over time and drive a tripling of value to us per vehicle. We'll also see this tripling of value in the India Heavy Duty segment from April 2020. Therefore, our projections for sustained growth, which we laid out on our Capital Markets Day 2 years ago over the period from 2017 to 2025, are absolutely unchanged. But of course, this depends a little bit on the level of diesel decline in Europe and battery electrical vehicle penetration. In Efficient Natural Resources, in the year, we continue to make solid progress. Building on this, going forward, we will focus on our technology on higher-growth segments and also look to improve our efficiency. The growth driver for Efficient Natural Resources is the need for a more sustainable world, one that makes the most efficient use of the world's natural, critical resources. With the growth of population and increasing wealth, the demand for chemicals continues to increase. Our leading market positions in chemical catalyst technologies will benefit from these megatrends. We'll achieve our strategy through targeted investments in higher-growth segments, a continued focus on efficiency and by extending our capabilities into new technologies. Those targeted investments in new technologies will start with an assessment of the potential for profitable growth. For example, we're assessing whether battery materials recycling is an opportunity for us. Given the developments of the battery market, this could be a significant for the mid-2020s as there are a greater number of end-of-life batteries available. This closed-lip offering has the potential to be a key part of our customer proposition. We feel confident in our chemistry skills. Recycling and refining is part of our DNA after all. And although the metals involved aren't pgms, we know we have the expertise to succeed in this space. Another key focus for us will be to expand our newly developed license technologies. As well as the mono ethylene glycol license that Anna mentioned, we're also looking at ways to aviation fuel, a fabulous example of how our technology enables a more sustainable future. This is a really interesting opportunity for us. We have a license agreement with Fulcrum BioEnergy, a biofuel producer, to support them in converting household waste into diesel and jet fuels. This has the potential to be a significant, particularly as Fulcrum looks to build more and larger plants, and we are seeing interest from customers who want to use this technology in other applications. And of course, we will drive efficiency across Efficient Natural Resources. Therefore, an important priority in the near term is continued investment in our refineries to ensure their safety and resilience. So overall, I'm confident that the sector will deliver sales growth ahead of the market and operating profit growth above this. Turning now to Health. In the year, Jason and his team have done a massive amount of work to improve our footprint, build the team and increase our efficiency. The business is now better structured to deliver the breakout growth we've outlined. The main growth driver for Health is increased health care costs which are driving more targeted and potent APIs. And our strategy is all about enhancing the performance of our existing business, expanding our new product pipeline and building capabilities to better support our customers. The team will now leverage the work we've done on optimizing our footprint. They will get an immediate operating cost benefit next year from these changes, but the long-term benefit is that we now have production assets matched to our plans. Having built the team, we can now fully focus on our new product pipeline across both Generic and Innovators. Delivering our pipeline depends on our customers' time frames, our delivery and the time it takes to get regulatory approval and launch. But in Generics, our goal is an additional GBP 100 million in operating profit by 2025. In Innovators, we do see significant potential in this business due to the nature of these APIs, which can be more complicated requiring deeper expertise and advanced technology capabilities which play to our strengths. Our Innovator pipeline is progressing well with 3 products in late-stage development and nearing commercial launch. And this year, we announced a strategic partnership for the manufacture of high-potent API used in the production of immuno-oncology treatment for triple negative breast cancer. And of course, we continue to enhance our capabilities to better support our customers. For example, we're building our capability in particle technology and we're also globalizing our development capabilities through our work with solid form sciences in Cambridge. This year has seen a lot of change in our Health business. I'm pleased with the progress that has been made and I'm confident this will drive breakout growth in the medium term. In Battery Materials, we've made good progress in the development and commercialization of our portfolio of leading ultrahigh energy density cathode battery materials which we call eLNO. Our materials are next generation. They're designed to perform ahead of new products, such as NMC811 and will suit a range of electric vehicle applications. In particular, eLNO has high-performance capabilities enabling greater adoption, long-range battery electric vehicles with longer cycle life, higher safety and higher energy density. The growth drivers for this business are all about improved air quality and increased battery electric vehicle penetration which requires new technologies. To deliver our strategy, we will maintain our technology leadership in an area of the market where we can add value and we will commercialize and scale up this business. To do that, our priorities are to start the construction on our commercial plants and identify the opportunities for scale-up. Our commercial plant in Konin, Poland is close to major customers in the battery electric vehicle supply chain. At the time that we announced our plant location, we also secured our first supply agreement with Nemaska Lithium for raw materials. These long-term and sustainable relationships are an important step in the road to commercialization. Building our first 10,000-ton plant is the quickest route to market and preserves our options and we are currently undertaking the preparatory work. The FEED, the front-end engineering design, work should be completed this summer. And we are ordering the long-lead-time items, we have submitted our environmental impact assessment and we started some initial work on clearing the site. Of course, this isn't an exhaustive list, but we've made really good progress so far.
, : In a fast-changing world, we would not be able to deliver on our growth promise if we stayed as we were. Our people deliver our strategy and vision, and the executive team and the Board create the culture that drives success. As we move through different phases of our strategy, I'm building a management team with the right mix of skills, experience and diversity to deliver on our ambitions. Most recently, we have agreed the appointment of a new CEO for Battery Materials who has strong business leadership skills. They will join us in September. We've also changed a significant proportion of our broader senior management team, those that report into the group management committee. These appointments are a combination of talent developed in-house and recruited from outside. In addition, we're building capability across the whole of JM and are investing in their development through ongoing leadership programs and other courses as we embed a greater performance culture across the organization. To enable our people to succeed, we're changing our processes, standard transparent processes will transform the way that we work, but it will substantially reduce complexity and increase our efficiency, allowing more time for our leaders to focus on delivering great products and services for our customers. Better processes, better data and improved visibility allows us to roll our business more effectively and will create even more value across the group. We have a number of group-wide initiatives, and of those, our procurement program probably has the biggest impact in the short term. Alongside this, our commercial excellence program is about capturing a fair share of the value we create for our customers. It's also about gaining a deeper understanding of our customers' needs and ensuring that we have a clear view of our customer and product profitability. We do this, for example, through our recently established JM sales academy where we have trained 350 colleagues so far to focus on creating a better awareness of customer needs and where we can apply our capabilities accordingly. Our systems investments are also key to delivering the efficiency targets we have set ourselves. The rollout of a single global ERP system will underpin everything that we do. And although the pace and level of change is high, our world-class sites remains at the heart of our business. We will continue to invest in our science and technology to maintain our competitive advantage. But around this core, we will have a business that's more agile and efficient, one that will enable us to deliver for our customers. We will be able to meet their requirements through standard ways of working across all our various plants, which enable us to scale up our business even further. The result will be a business that is better positioned to drive growth in a world that is constantly changing around us. I now have a broader senior leadership team that is committed to delivering on this promise to all of our stakeholders. Of course, we will deliver our strategy through our sectors, so I want to look at the impact of the changes we're having on each of them. In Clean Air, we delivered exactly as planned and are on track to achieve the sustained growth and margin as we'd outlined. The growth drivers for this business are the global demand for improving air quality and the tighter emissions legislation which underpins that, especially in Asia. We'll deliver our strategy through our global leadership with the best technology, our competitive advantage in working with our customers to enable them to meet increasingly stringent legislation and through an efficient manufacturing footprint. And we have 3 priorities. First, to maintain our technology leadership through our research and development. In Europe, our technology leadership in Light Duty diesel delivered our share gains this year. But given market dynamics, we are now reallocating some research and development spend to gasoline to deliver future share gains. Second, further legislative change will be a key driver for growth in Clean Air, particularly in China and India with the implementation of China VI and Bharat VI for light and heavy duty vehicles. We will capture this growth to double our Asia business over the medium term and will support our growth through our new capacity, expanding our manufacturing footprint in Europe and Asia. As we progress through the year, our key priority will be ensuring the smooth ramp-up of our new manufacturing plants in Poland and China, as you can see on this slide. On the left, you can see our new plant in Gliwice, Poland; and in the right, our plant in Zhangjiagang, China. Both of these plants will be highly flexible and extremely efficient which helps us drive further operational efficiencies across the sector. Our ability to operate efficiently is a key priority in Clean Air and indeed across the group, and this will enable us to keep margins broadly stable as planned. Almost 2 years ago, we outlined our medium-term projections for Clean Air to 2025. As you've seen from our results, we have delivered the strong growth we projected for the first 2 years. But as we look forward to the next big opportunity, it is in Asia, particularly in China where we'll see a similar transformation as we did in Europe with the Euro 6 legislation for both light and heavy duty. In China, on the light duty side, we'll see the implementation of China VI from 2020. In the short term, we expect some vehicles to be fitted with a coated filter which could double the value per vehicle to us. But from 2023, when China VIb comes into force, we will see a significant ramp-up in penetration of coated filters. Whilst in heavy duty, the implementation of China VI is earlier than expected driven by the Chinese government's blue sky legislation which requires early implementation in some provinces from July this year. The adoption of this legislation will ramp up over time and drive a tripling of value to us per vehicle. We'll also see this tripling of value in the India Heavy Duty segment from April 2020. Therefore, our projections for sustained growth, which we laid out on our Capital Markets Day 2 years ago over the period from 2017 to 2025, are absolutely unchanged. But of course, this depends a little bit on the level of diesel decline in Europe and battery electrical vehicle penetration. In Efficient Natural Resources, in the year, we continue to make solid progress. Building on this, going forward, we will focus on our technology on higher-growth segments and also look to improve our efficiency. The growth driver for Efficient Natural Resources is the need for a more sustainable world, one that makes the most efficient use of the world's natural, critical resources. With the growth of population and increasing wealth, the demand for chemicals continues to increase. Our leading market positions in chemical catalyst technologies will benefit from these megatrends. We'll achieve our strategy through targeted investments in higher-growth segments, a continued focus on efficiency and by extending our capabilities into new technologies. Those targeted investments in new technologies will start with an assessment of the potential for profitable growth. For example, we're assessing whether battery materials recycling is an opportunity for us. Given the developments of the battery market, this could be a significant for the mid-2020s as there are a greater number of end-of-life batteries available. This closed-lip offering has the potential to be a key part of our customer proposition. We feel confident in our chemistry skills. Recycling and refining is part of our DNA after all. And although the metals involved aren't pgms, we know we have the expertise to succeed in this space. Another key focus for us will be to expand our newly developed license technologies. As well as the mono ethylene glycol license that Anna mentioned, we're also looking at ways to aviation fuel, a fabulous example of how our technology enables a more sustainable future. This is a really interesting opportunity for us. We have a license agreement with Fulcrum BioEnergy, a biofuel producer, to support them in converting household waste into diesel and jet fuels. This has the potential to be a significant, particularly as Fulcrum looks to build more and larger plants, and we are seeing interest from customers who want to use this technology in other applications. And of course, we will drive efficiency across Efficient Natural Resources. Therefore, an important priority in the near term is continued investment in our refineries to ensure their safety and resilience. So overall, I'm confident that the sector will deliver sales growth ahead of the market and operating profit growth above this. Turning now to Health. In the year, Jason and his team have done a massive amount of work to improve our footprint, build the team and increase our efficiency. The business is now better structured to deliver the breakout growth we've outlined. The main growth driver for Health is increased health care costs which are driving more targeted and potent APIs. And our strategy is all about enhancing the performance of our existing business, expanding our new product pipeline and building capabilities to better support our customers. The team will now leverage the work we've done on optimizing our footprint. They will get an immediate operating cost benefit next year from these changes, but the long-term benefit is that we now have production assets matched to our plans. Having built the team, we can now fully focus on our new product pipeline across both Generic and Innovators. Delivering our pipeline depends on our customers' time frames, our delivery and the time it takes to get regulatory approval and launch. But in Generics, our goal is an additional GBP 100 million in operating profit by 2025. In Innovators, we do see significant potential in this business due to the nature of these APIs, which can be more complicated requiring deeper expertise and advanced technology capabilities which play to our strengths. Our Innovator pipeline is progressing well with 3 products in late-stage development and nearing commercial launch. And this year, we announced a strategic partnership for the manufacture of high-potent API used in the production of immuno-oncology treatment for triple negative breast cancer. And of course, we continue to enhance our capabilities to better support our customers. For example, we're building our capability in particle technology and we're also globalizing our development capabilities through our work with solid form sciences in Cambridge. This year has seen a lot of change in our Health business. I'm pleased with the progress that has been made and I'm confident this will drive breakout growth in the medium term. In Battery Materials, we've made good progress in the development and commercialization of our portfolio of leading ultrahigh energy density cathode battery materials which we call eLNO. Our materials are next generation. They're designed to perform ahead of new products, such as NMC811 and will suit a range of electric vehicle applications. In particular, eLNO has high-performance capabilities enabling greater adoption, long-range battery electric vehicles with longer cycle life, higher safety and higher energy density. The growth drivers for this business are all about improved air quality and increased battery electric vehicle penetration which requires new technologies. To deliver our strategy, we will maintain our technology leadership in an area of the market where we can add value and we will commercialize and scale up this business. To do that, our priorities are to start the construction on our commercial plants and identify the opportunities for scale-up. Our commercial plant in Konin, Poland is close to major customers in the battery electric vehicle supply chain. At the time that we announced our plant location, we also secured our first supply agreement with Nemaska Lithium for raw materials. These long-term and sustainable relationships are an important step in the road to commercialization. Building our first 10,000-ton plant is the quickest route to market and preserves our options and we are currently undertaking the preparatory work. The FEED, the front-end engineering design, work should be completed this summer. And we are ordering the long-lead-time items, we have submitted our environmental impact assessment and we started some initial work on clearing the site. Of course, this isn't an exhaustive list, but we've made really good progress so far.
, : As you know, eLNO is a range of battery materials, all sharing the same high-performance attributes. In addition to these performance characteristics, our customers are increasingly looking for customized solutions to their problems, and this plays right to our strengths. Over the last year, we've been working hard to tailor eLNO to meet specific customer requirements. Our ability to customize is a key differentiator and puts us at the leading edge of technology. As we work through the various stages of testing, we receive constant feedback from our customers, and I'm pleased to say that this feedback remains positive. And it's great to hear that we're adding value, which goes back to the core of our strategy, we help our customers solve complex problems. You can see some quotes on the left-hand side which shows that our customers value our willingness and ability to customize, and our commitment to having the best technology. As we move to full-scale commercialization, we'll continue to work through customer qualification. We've moved from lab scale to our pilot plant which is now complete, and our customers are now looking to test eLNO in their own applications to assess how our material performs against their specific requirements. To support this, we are building 3 best-in-class customer application centers, 2 in the UK and 1 in Japan, with a plan for further expansion. The first UK center will be completed in 2019 and the remaining 2 in 2020. These centers will include a range of facilities from laboratories to demonstration cell manufacturing capability and are critical to delivering the tailored solutions our customers are asking for. In the last year, we have achieved some major milestones as we positioned ourselves for success in the global electric vehicle market. So to conclude, we delivered a strong performance this year, it's in line with our expectations and we've done it while making fundamental changes across almost every aspect of our business. We are investing to strengthen the platform for the future which will enable us to successfully execute on our strategy that we've laid out to you before. As you've seen, Johnson Matthey has an exciting future ahead. I'm confident that we will deliver, and these results and those over the past couple of years provide you with clear evidence that we can and are. And if I don't see you beforehand, I look forward to updating you all on our Capital Markets Day in September. So that concludes our presentation. Thank you for listening. And with that, we'll pause and take any questions you may have.
A - Robert MacLeod:
, :
Sebastian Bray:
, :
, :
Robert MacLeod:
, :
Anna Manz:
, :
, :
Robert MacLeod:
, :
, :
Andrew Stott:
, :
Robert MacLeod: Okay, Andrew. So John, are you happy to take those to start with?
John Walker: Yes. So on the China 6 legislation, that has been kind of moving around, mostly moving forward. So the blue sky initiative was announced in 13 provinces in China. So on light duty, what that means is that from July of 2019, they're introducing NS 6b, as they call it, but there's no particle number specification and there's no real-world driving. So you know, they're calling it the second standard. They've excluded on the pull-forward the particle number spec, which drives filter fitment and the real-world driving, which isn't more challenging target there, too. So on the light-duty side of things, that's not going to have a huge impact on our sales. The real impact in China on the first legislation is in heavy duty. And for the blue sky initiative there, that was pulled forward to July '19. And now that's been limited to most of the cities, city-type vehicles, sanitation vehicles, buses, postal service vehicles and things like that. So there's a limit to that. But actually, that's a little bit of an upside compared to what we had in our plan. So we should see a benefit starting in '19-'20 in China from that legislation.
, : First stage comes in, in April 2020. And that's for everything. That's for gasoline, diesel, heavy duty, non-road and motorcycles, okay? So it affects the whole product mix. And so in there, again the first stage of this legislation doesn't include any particle number specifications. So there's very little filter fitment on light duty. And then when the stage 2 comes in 2023, that's when you add the particle number standard and the real-world driving. And that's going to begin to put filters on light-duty gasoline vehicles and will be the full system on heavy duty. So sorry, that's a little bit of a complex story, but there's a lot going on there.
, : First stage comes in, in April 2020. And that's for everything. That's for gasoline, diesel, heavy duty, non-road and motorcycles, okay? So it affects the whole product mix. And so in there, again the first stage of this legislation doesn't include any particle number specifications. So there's very little filter fitment on light duty. And then when the stage 2 comes in 2023, that's when you add the particle number standard and the real-world driving. And that's going to begin to put filters on light-duty gasoline vehicles and will be the full system on heavy duty. So sorry, that's a little bit of a complex story, but there's a lot going on there.
Robert MacLeod:
, : And whereas in the U.S., we tended to have a prebuy of old technology. If you remember that happened in 2010 when we went to U.S. 2010 regulations, not very imaginatively named. And then we pulled forward old technology in China, happens the other way around. They tended to want to try and pull forward new technology because they're particularly worried about resale value of the vehicle. So it's a slightly different dynamics. You do get some of that pull-forward. But as John said, it's particularly going to come through as we get closer to '23. And Anna, our interest costs?
Anna Manz: Interest costs. So we will be running with higher precious metal because of the backlogs that we're working down through a chunk of the fiscal year. And we've got to fund that metal. And we do that through leases and so that hits the interest line. So that's really what's going on. So it's a factor of higher ounces and higher prices.
Robert MacLeod: Okay. Can we just pass the phone to Ranulf Orr.
Ranulf Orr: Ranulf Orr of Redburn. So another question for John actually. On the margin outlook in Clean Air, can you just run through some of the pluses and minuses in terms of the dynamic over the next 12 months, please, as you see them? And the second question is on the ENR division. The first fill catalyst drop of GBP 30-odd million in the year. Can you give us some quantum of what is left in the full year sales figure in terms of first fill catalysts because it continually seems to go south? And so I wonder if there's much left.
Robert MacLeod: John, do you want to answer the first one?
John Walker: Yes. So on the pluses on margin, we're consolidating our position in Europe on the share gains in diesel. So that will be continuing throughout the year. But the real plus is going to be the increases in our sales value of the beginnings of what's happening in China. So that's pretty much the 2 positives, I guess, that are going to come from that. And then on the things that are drawing us down, I think Anna alluded to all those in her talk. We have our increased R&D investment, which is adding more investment on the gasoline side. We have the beginnings of some of the systems that are coming out, where Clean Air is one of the early adopters of those. So some of that stuff in terms of depreciation starting to hit our P&L. And then we have 2 new big plants coming onstream. So we have all the start-up costs from the new plants.
Robert MacLeod:
, :
, :
, :
, :
, :
, :
Jean-Baptiste Rolland: Jean-Baptiste Rolland, Bank of America Merrill Lynch. 3 questions, please. The first one on North American Class 8 trucks. I can see that net orders seems to be approaching trough levels. And I was wondering when would you expect this to filter through your P&L and also maybe what is baked into your guidance for next year. Second question on Clean Air in Asia, I was wondering if there is any development against Asian competitors. And finally on Battery Materials, what's the current market dynamic in LFP? It seems that the switch to NMC in Chinese e-buses is sort of halting. And I'm just wondering if you're seeing any sort of renewed interest in the technology.
Robert MacLeod: I guess we'll start with the Clean Air ones first. I mean, John, I mean I think Class 8, what we said, we expect it to carry on through this summer of this year?
John Walker: Class 8 will carry on to this summer. I mean the extension now is filling some of the backfill that some of the orders that have been building up. But we expect it to start to tail off this summer. But that's been an extension of what is called a normal cycle.
Robert MacLeod: And that's what's embedded in our plans and everything with the projections and guidance that we've been giving is based on that. But I think in...
John Walker: I didn't understand the second question.
Robert MacLeod:
, :
, :
, :
, :
, :
Adam Collins: It's Adam Collins from Liberum. I have 3 questions as well. First one is on R&D. Forgive me if you talked about that. But what's the sort of direction of travel in terms of R&D spending? Will it increase from 5%? And could you talk a little bit about the capitalized R&D component with GBP 19 million last year? So not a big number, but where was that? And will capitalized R&D develop, too, over time? On U.S. truck, I think you're being sensible in predicting a decline for mid-year. Historically, that's been quite a cyclical business, where there have been volume declines, they have been sometimes quite significant. And I have a sort of slight concern that the U.S. business doesn't have a light-duty opportunity like we see perhaps from Royston to fall back on. So in the event that we do see a significant volume decline, what would be the contingency planning there? To what extent are there offsets? And then just finally on precious metals refining, it strikes me that industry is pretty tight today. We've seen some decommissions in Europe from BASF and Vale. The other 2 main players in that area have had outages in the last year, yourself and Umicore. So it looks to be like market conditions are pretty benign there. Would you concur?
Robert MacLeod: Well, good questions, Adam. Let me just make sure we can have the mic so that Jane can answer the last question. And we've got mic here. So we'll come back to you, Jane, in a second. On the first one on R&D, look, we invested last year around about GBP 200 million in R&D. It wasn't exactly GBP 200 million.
Anna Manz: GBP 190 million.
Robert MacLeod:
, :
, :
John Walker:
, :
Robert MacLeod: And remember, of course, about 75% of our costs are variables. So you never see a great operational leverage on the upside. But on the other hand, you don't see much operational deleverage on the downside either. Now, I've given you a bit of time to think, Jane. And I'm sure you didn't need it. But over to you, Jane.
Jane Toogood: Is it working now?
Robert MacLeod: Yes.
Jane Toogood: Yes, okay. So thanks for the question. So with respect to the refining question was, is the market benign? I mean I don't describe market as benign really. But it's true that we've been very busy in our refinery. And our refinery has a very important strategic position for JM because we're making sure that we've got that secured availability of pgms for the JM group because that's our fundamental purpose of having refining activity. And one of the reasons it's taken time to work off our backlogs is because we're optimized the whole time in demand and also our supplies. So we're full and we're busy all the time.
, :
Robert MacLeod: Thanks, Jane. So you just pass the mic to your right.
Marc Elliott: Marc Elliott, Investec. Just a quick couple of questions. I noticed rare earths have been dragged into the trade dispute at the moment. And I think back in 2011, it was somewhat problematic for the autocat business because you used a bit of it. Is that something you're preparing for? Are you able to pass on sort of cost that may come through or may not come through? Or is there any sort of working capital that needs to be considered on that side? And also just a little bit about raw material sourcing, I think Umicore signed up a deal with Glencore the other day on cobalt. You've got the deal with Nemaska. Are there any cost implications? Because Nemaska, I think, is struggling a little bit at the moment with financing and so forth. Is there any implication if they sort of don't get through? And lastly on eLNO, I was just curious to know. 811 struggles a little bit with charge rates. It obviously has high-energy density. Does eLNO have quite a good charge rate characteristics so to give it a further advantage?
Robert MacLeod: I thought for a minute, you were going to have 2 questions and everybody else has had 3. So it feels like you were going to miss out on your third question, but you threw one in there at the end. Well done. So just very briefly on eLNO, the answer is yes. It does have good charge characteristics. And that's one of the things that our customers like about it. And not just it's energy density and safety, but some of the other characteristics that it has as well. And of course, they're looking at a whole suite of characteristics, not just one. It's just not about energy density or whatever metric. And so there's a wide range of things they look at of which charging capabilities is one. So that's good for eLNO, which is one of the things that customers like. And of course, one of the things we talked about as well is that customization piece because every customer is different. Every customer wants something separate. And so the ability to customize a product and give each individual customer what they particularly want is something that we think we can differentiate. And eLNO enables us to do that. We talked about raw material sourcing. And do you want to answer that one, Anna, because you've been involved in the sourcing group?
Anna Manz:
, :
Robert MacLeod: The point is that we actually have a group that are looking at and thinking about sourcing and the tactics around that, I think, is an important thing. You should just be aware of that we are monitoring and managing that and how we think about that going forward. And last but not least was the rare earth question. And yes, you're right. So in 2011, we did have quite a big impact. When the prices went up enormously, we always managed to access the rare earths we needed. And I don't think there's any difference this time. Although we've learned the lessons from that. So we've now got within the sort of our arrangements, we've got multiple sourcing options, multiple sourcing routes. 
, :
John Walker: No. I think we're in pretty good shape on the tariff side. Our rare earth usage as our total global spend in North America is relatively small. And as Robert said, we've got multiple options on some raw materials, which gives us change-out ability if one is a China-sourced material. And we have supply chain options to be able to work around that. So on the tariff side, we are in pretty good shape.
Robert MacLeod:
, :
, :
, :
Chetan Udeshi: Chetan from JPMorgan. A few questions. On U.S. truck, you said you expected to sort of peak at the middle of this year. So for full year '19-'20, can that business see sales growth? That's number one. Number two question was to Anna, maybe on CapEx. Is there a way to think about GBP 500 million or up to GBP 500 million this year in terms of how much of that may be phasing-related one-offs? Or in other words, what I'm trying to get to is looking beyond this year, is that the sort of run rate number? Or is that sort of just impacted by some phasing of CapEx in different projects? And the last question is on the guidance for this year in terms of EBIT growth, where you've said you're comfortable with mid- to high single-digit in terms of the range that you have forecasted for the full year. When I look at the second half constant currency EBIT growth, it was 5%, I know and second half sort of already incorporates bulk of the share gains in diesel et cetera. So is there a reason to believe we see a big uplift from that run rate going into this year? Or is sort of 5% the right number to think about for '19-'20?
Robert MacLeod: Okay, thank you for your question. So John, do you want to talk about U.S. truck phasing for this year?
John Walker:
, :
Robert MacLeod:
, : But from a top line point of view, there's nothing else we can do about it obviously. But from a bottom line point of view, we're pretty immune, but pretty dampened to that volatility.
, : But from a top line point of view, there's nothing else we can do about it obviously. But from a bottom line point of view, we're pretty immune, but pretty dampened to that volatility.
, :
Anna Manz: I'll try and help. So on CapEx, maybe the way to think about it, Chetan, is that you've got GBP 250 million we're investing in plants in Clean Air. The 2 big ones, China and Poland, will be substantively complete this year. So yes, there'll be continued spend around India next year. If you look at eLNO, we are breaking ground this year so the spend on the commercial plant, not that demo plants or the application centers, which will be weighted to this year, the spend on the commercial plant will be continuing through next year. So those were the sort of really big chunky bits and we talked about needing to reinvest in the refineries to ensure their resilience. That will start this year and continue and be weighted towards next year. So I would suspect that we continue to see higher CapEx growth. Will it be as high? It's sort of a little bit, depends on the phasing. We were quite careful in our wording of up to GBP 500 million in that these are really big and complex projects that go over the year-end based on the build schedule that we have today, which will almost certainly change as we continue to build these projects because it always does. The exact phasing of which year some of this sits in will become clearer as we move through.
Robert MacLeod: But this is, I would kind of argue, good news because, in John's parts, his business is a 30% return on capital business. There's absolutely no reason why this won't be accretive to the group and deliver great ROIC. And of course, the investments in the eLNO, in particular, those are the 2 big investments, will all be about the long-term growth of the company and it's about making sure we get the right return rate and on...
Anna Manz: EBIT?
Robert MacLeod: EBIT.
Anna Manz: Will it be 5%, I'm not going to answer that question explicitly. But what I'd say is there is a consensus out there and we have not guided in a way to change consensus because we're broadly happy with it.
Robert MacLeod: Okay. Now get over to the side of the room now.
Nicola Tang: Nicola Tang from Exane BNP Paribas. I have 2 questions, first, on Clean Air. Thanks for laying out your views on regulatory drivers. Can you talk a little bit about your assumptions on the underlying market, particularly in Light Duty across the globe, how have things been tracking so far because the data doesn't necessarily look that great. And my second question in Battery Materials or in eLNO, Robert, you hinted that you're doing preparatory work on stages beyond the current investment. Could you talk a little bit in terms of what options you're exploring there? And does the warning from Umicore on a delay and demand for cathode materials concern you at all?
Robert MacLeod: Okay. John, do you want to talk a little bit about the underlying market, what you're seeing so far?
John Walker: So I just think, in general, I would agree that we have kind of global outlook of a couple of percent growth in Asia. Much of that growth in China, in particular, is electric vehicles. But the point of our business is that our growth is coming from legislation. So I don't want to say that if car sales are 0 growth for the rest of the lifetime, that our business is going to fall apart. But with very little growth in the market, our sales are going to grow and I think that has been our story, that the growth that's built into our plans is for legislation growth and that's where the growth is coming from in our business.
Robert MacLeod:
, :
, :
, : Can you go and just pass to the left, yes.
Charlie Webb: Charlie Webb from Morgan Stanley. Just maybe a few on new markets, so just following up on eLNO. When do you think your move to A sampling? Is that a 2019 event or do you see that in a bit later? So I think that's still ahead of you. Secondly, on the CapEx for eLNO that you kind of originally guided to, is that still unchanged in the medium term or has that increased? And then on fuel cells, you obviously saw significant growth there. Can you perhaps tell us what the backlog looks for you in that business today versus last year? Or at least give a kind of idea of that change? That'd be very helpful. And then just a couple of others, really quick ones. On restructuring costs, what should we expect as we look into next year versus the GBP 30-odd million that we had in FY '19? And then just on working capital, given the kind of continued improvement if we kind of strike at current pricing, would you expect an inflow in '20 or is it still expect to be an outflow?
Robert MacLeod: Okay. Anna, I'll ask you to answer the second two. We've got 5 questions in there. But look, the eLNO is sort of one, new markets is one.
, :
, :
, :
, : Restructuring and working capital?
Anna Manz:
, : With respect to cash flow, again, we don't guide on cash flow, but we do talk through the pieces. We will expect to see working capital return to a more normalized level on metals so you should see that benefit through the year. But of course, there will be cash outflow associated with that CapEx cost. I'll let you work it through.
, : With respect to cash flow, again, we don't guide on cash flow, but we do talk through the pieces. We will expect to see working capital return to a more normalized level on metals so you should see that benefit through the year. But of course, there will be cash outflow associated with that CapEx cost. I'll let you work it through.
Robert MacLeod: I mean on the restructurings, I mean what goes outside of underlying is, of course, the major restructurings. We're always doing things in the business all the time, but they're all above the line, because they're just normal activities. There's not any of the sort of bigger ones that we would talk about outside of underlying and then I would reach out exactly what I understand. We would have talked about it if there was one planned.
, :
Martin Evans:
, : And secondly, in the press release, which I'm quoting in front of us. I saw something about IT systems and SAP, which sent a shudder of sort of past recollections of how companies have come a little bit unstuck on implementing SAP. Again, can you say what you're aiming to do there and how far advanced that is?
Robert MacLeod: Anna, yes, you want to take both of them?
Anna Manz: Yes. So we've guided to there being an opportunity of GBP 60 million in procurement savings. We delivered GBP 28 million to date, of which about GBP 7 million is in CapEx, the majority of the rest hitting the P&L. Look, we've gone from purchasing at the site level to purchasing globally. And that touches a vast number of our 15,000 people. They walk up to work differently. So I'm hugely pleased with the progress that we've made to liberate these savings. I would say we're relatively early in our procurement journey. There is more opportunity here yet, and there will be further opportunity once we've got the group on SAP wall to wall because today, just to give you an example, I've got 44 ledger systems and multiple instances of those. So if I want to know how much we're procuring, for example, methanol, no idea in that each system calls it something different. And the only way to get that data is to suck the data out of those systems and aggregate it, which is how we're delivering these procurement savings. Once we've got a single global way of doing things, we will have real-time data and we'll be able to go faster. So this is the beginning of a journey and it's going to be consistent improvement year-on-year. In terms of SAP, it's right to send a shudder. It should send a shudder. I'm appropriately paranoid. We've got our first site live though. We've got Clean Air in Royston live on our single global instance. Royston is a big and complex side. The number of users on that site is over 1,000, and we've been successful in that first go-live. We've got 8 more go-lives coming in the next 12 to 18 months, and we're well on track. So I think we've already done in some ways our hardest site, which maybe wasn't the most sensible place to start, but we're in good shape. So now we just roll out from there. So we remain appropriately paranoid, but therefore you shouldn't be.
Robert MacLeod:
, :
, :
, :
, :
Anna Manz: I quite like it.
Robert MacLeod: Well, it's a lot of hard work for an awful lot of people. It touches virtually the whole organization. And so it's a big change for the organization. And a lot of effort going into do that. But the benefits that come from it , well, are really important and we'd drive those through, and we will do. Have you got a mic, Adam? So we go over here since there's a mic just nearby and then we'll come back to you.
Tom Wrigglesworth: Sorry, Adam. Is this working? Tom Wrigglesworth at Citi. So just one question on your calling out increasing R&D on gasoline. Is there something you're seeing in the outlook for gasoline that JMAT is particularly well positioned to solve or a new hurdle, a new challenge there that's leading to that R&D? If you could elaborate, that'd be helpful.
Robert MacLeod: Sure. John, do you want to give a bit of color there?
John Walker: I think there's always new challenges. Especially if you're a technology person, that's how they live. But I think our focus on gasoline is that I guess we strive to be #1 in everything. Right now, we feel that our gasoline is on par with our competitors, and we want to be clearly the leader. And when we put our mind to doing that, I think we've demonstrated that we succeed pretty much all the time. So that's what we're trying to do.
Robert MacLeod: And obviously...
John Walker: And as the market is shifting with diesel to gasoline, more towards gasoline, so I mean it just makes sense that we shift some of our R&D.
Robert MacLeod: Okay. Adam?
Adam Collins: Yes. I had a question in relation to the leadership changes in the business. There's been a couple of things going on in the last year that I'd be interested in your views on. The first one is, of course, on the appointment of the CEO for Battery Materials and the standing down of the CTO role. And then on the business development director side, you've had a couple of changes in as many years. It strikes me the first one maybe has something to do with the transition from research to commercialization in Battery Materials. But the second one sort of speaks to some dissatisfaction around the business development function. I wondered what your take was on what's happened here and the rationale.
Robert MacLeod:
, : On the other role, look, not every role works perfectly every time, and maybe it does in your organization. But some you win, some you don't win so it's better to just sort of get the right people at the right time and then move on and get the right team in place. And I'm very happy with the team we have now. It's now a question of continuing to move forward from here. I thought for a minute we were done, but not quite yet. One more question over here?
Charlie Webb: Charlie from Morgan Stanley. Just a quick couple...
Robert MacLeod: You've already asked 2 questions last time. So you get your third.
Charlie Webb:
, :
Robert MacLeod: Yes. Don't worry, I'm not putting pressure on only 3, if you have another one, please do ask. No, okay. So John, I know what you're going to say, but go on.
John Walker: We're going to consolidate our position for now. We're working on some of the Euro 7 stuff. There are still diesel bids that are in Euro 7. I know the skeptics are saying diesel is going to die, but car companies are still offering request for quotes for new business. And we'll see. I'm not going to commit to say we can go beyond 65% because I don't think that's a long-term sustainable position. But we're going to hold on to it as long as we can.
Robert MacLeod:
, :
, :
, :
Martin Evans: It's the last question, probably slightly unfair. I was just going to ask about how you're getting on with the new Chairman given his, and I'm sure he's watching this somewhere, given his extensive experience in the chemical industry and with investors. Do you feel he's brought a sort of new approach or new dynamism to the Board?
Robert MacLeod:
, : And absolutely, that's what he's doing. Look, he's only been chairman now for not even a year. So you'll start to see some of that coming through, I'm sure, in the future. But we're pushing forward quite well anyway, but this is just another little bit of a gentle nudge and support, which I think is a good thing.